Operator: Welcome to the Wynn Resorts’ Fourth Quarter 2020 Earnings Call. [Operator Instructions] This call is being recorded. [Operator Instructions] I will now turn the line over to Craig Billings, President and Chief Financial Officer. Sir, you may begin.
Craig Billings: Thank you, operator. And good afternoon, everyone. On the call with me today are Matt Maddox and Marilyn Spiegel in Las Vegas. Also on the line are Ian Coughlan; Linda Chen; Ciaran Carruthers; Frederic Luvisutto; and Brian Gullbrants. I want to remind you that we may make forward-looking statements under safe harbor federal securities laws, and those statements may or may not come true. I will now turn the call over to Matt Maddox.
Matt Maddox: Thanks, Craig. And good afternoon everyone. Thanks, for joining today.  We clearly made progress in the fourth quarter of this year as all of our properties were actually EBITDA positive. It's a real testament to the team the way we've been able to streamline our cost structure and take more of the revenue to the EBITDA line. And in fact, I think, our company is in the best position it's ever been in to translate revenue into EBITDA as more of the business comes back because it's going to. We continue to anticipate that we're going to see growth month over month in each of our markets and we are well positioned with the way that we've streamlined our business. If you look at Macau, we generated $39 million of EBITDA for the quarter. And Macau is continuing to see progress. The government, there has been very thoughtful and very cautious as to the way that it's been allowing people into Macau. And we feel confident that that growth is going to continue. One of the positives of 2020 was that we've been able to spend a lot of time thinking about the future of Macau and really what the growth drivers are going to be going forward. And it's crystal clear that the growth drivers for Macau are really the sweet spot of our company and that's the premium segment – premium mass, in particular. So, we spent a lot of time reconfiguring our properties over the last six months to cater to that customer. We've turned restaurants, buffet into a hotpot restaurant. We've taken Michelin star restaurants and created a more premium mass environment. In fact, we've taken some of our large villas that we don't anticipate we'll be using for the junket business, and we've turned them into entertainment facilities for the premium mass customer. That customer is going to lead back, and we are well positioned to take a disproportionate share of that business. And we think that it's going to continue to improve month-over-month. And our team is positioned to focus on the premium mass segment. Moving to North America. In Las Vegas, we made roughly $21 million of EBITDA for the quarter. And $14 million of that came in October. So, in October we were seeing some green shoots, I think, as most of the country was before the ramp up of the COVID numbers, sort of around the country and the restrictions kicked back in. They kicked back in Nevada and in our key markets in California, and New York and other places. And we saw a real decline in business after October.  As an example, in October, we were booking roughly 1,650 rooms per night for future bookings. And a couple of weeks after that into November, December, that number fell to 700, 700 rooms per night. And that continued into January. However, we've seen just in the last 10 days and uptick again, and it's right in line with the COVID numbers, sort of around the country, decreasing. It's clear that people are ready to have fun. They are ready to travel, but they are still not quite sure if it's time. We've seen our booking rooms per night, go back up to almost 1,600 from 800 in November and December, just in the last 10 days. In fact, for Superbowl, we're going to be at almost 50% occupancy the first time since October with over a thousand casino customers coming, which is significantly more than we had for New Year's Eve. So, while there's still a long way to go in Las Vegas, we can tell that as people become more and more – feeling more safe, they are ready to travel and they are ready to have fun. And we're ready to create that experience. In fact, we've built multiple restaurants in Las Vegas during this period that we haven't opened. So, we're going to be opening new restaurants this year, as the restrictions continue to lift. Just to remind everybody, we built a 400,000-square-foot convention center that opened at the beginning of last year that we've never used. And so, we have lots of new product, exciting stuff that we've been working on all throughout 2020 that we'll be able to launch as business comes back. And if you look at the convention space, there's a lot of questions about it obviously. We have roughly 170,000 room nights, convention room nights on the books for the third quarter and fourth quarter of this year, which is about the same as what we had in 2019. Now, clearly I expect some lush out of that. We haven't seen massive cancellations yet, but I'm sure that there will be cancellations. But we're doing everything we can to keep that business and to create additional business. As an example, we opened the first in Nevada a private partnership with a UMC vaccination destination – Vaccination Center. We're vaccinating between 500 and 700 people a day in our Encore ballroom. And this month we will be opening our COVID testing lab, which is a PCR based lab that will have the ability to process between 5,000 and 7,000 tests a day. That opens this month. And the idea is that when we talk to groups or when we're talking to the state leaders about entertainment, about nightclubs, about conventions, that will have the ability for customers to have health passport, whereby they can say and show that they've been vaccinated, or they've been tested in our lab onsite, and it's been turned around within six hours. So, you know everybody in your space, everybody in this convention area has either tested negative for COVID or has been vaccinated. I think that that's going to be a real advantage for us going forward to keep these groups on and to attract additional business. As we see the restrictions, hopefully continue to lift as vaccines rollout. And we're very hopeful that by this summer we're really starting to see a lot more people traveling to Las Vegas. Looking at Massachusetts Encore Boston Harbor, we made about $16.7 million in EBITDA for the quarter. And again, same story Las Vegas, 11 of that in October. As the numbers ticked up, the COVID numbers ticked up in Massachusetts the restrictions rightfully kicked in. And there we actually had to close Encore Boston Harbor at nine o'clock at night, beginning in November into January. But just recently because their numbers have been going down and their positivity rates are looking quite good in Massachusetts, we’ve been able to reopen 24/7 in Massachusetts. And today the Governor actually announced additional lifting of certain restrictions moving occupancy percentages for restaurants and other places up from 25% to 40%. And there are some interesting things about the Massachusetts gaming environment that, I think, will provide additional short-term growth as restrictions are lifted. For example, we've never been able to open craps there. There's a big demand for craps, but that has not been allowed to date. And we're hopeful that will be allowed quite soon. On the table game side, we are capacity constrained on the weekends in particular, now that we're offering – now that we're opened 24/7, but we only have three seats on a table game. Whereas I think almost all other jurisdictions around the company – around the country are at four seats. And so we're quite hopeful that some of those things and those restrictions will continue to lift as again, the vaccinations roll out and the numbers look good. The trends that Encore Boston Harbor are quite strong. Our margins should be quite good there, and we're very optimistic about the future of our business at Encore Boston Harbor. Now looking at Wynn Interactive. So Wynn Interactive, we're very excited about, and I know that everybody's talking about the online business as they should be. Just looking at the five states that were legal and offering online gaming and online sports betting in November and December. If you run rate those numbers, just in those five states, it's roughly a $4 billion to $5 billion market just in those states. So that's quite an opportunity. And if you think about all of the other states that will likely be rolling out sports betting, and maybe some online gaming, clearly this total addressable market is quite large. Its multiples more than it is now. And it's one that we are very focused on. We bought BetBull in November. We've consolidated it. We've added over a 100 people to the team. We recently launched in Michigan and in Colorado. And our gaming revenues have increased more than 50% since our last call. And we're currently on a run rate of about $50 million in our Wynn Interactive business. And so the way we look at this is because each state will take time to roll out. That's actually a benefit for us. We have the brands. We're releasing new features on our product every week. We're beefing up our team. We have some very exciting media deals and partnership deals that we're working on. And as we build our strength and build our brand campaign and roll out in these states, we think we're going to be in a very good position by the back half of this year is the NFL season kicks off again. So Wynn Interactive is a big focus of ours and we're seeing all the right things that we were hoping that we would see right now in particular with the revenues growing almost 50% over the last three months. So with that, I'm going to go ahead and turn it over to Craig to talk a little bit more about the numbers.
Craig Billings: Thanks, Matt. Similar to the past few calls, I'd like to start with a few points on liquidity and operating expense. As of January 31, our global cash and liquidity position was $3.39 billion. In Macau, we had approximately $2.24 billion of available liquidity as of January 31. In the U.S., we had total available liquidity of approximately $1.15 billion on January 31 with a substantially lower daily cash burn globally compared to Q3 2020. Meanwhile, we continue to be focused on operating expenses. Compared to the fourth quarter of 2019, our global property and corporate operating expenses per day excluding gaming tax of $4.6 million, decreased nearly 40% year-over-year compared to $7.6 million in Q4 2019, with our FTE count decreasing by approximately 8,700 or 34%. We expect a meaningful portion of these savings to drive operating leverage as business volumes return. In Macau as Matt noted, we generated $39.4 million of EBITDA in the quarter with particular strength around the December holiday season. Our EBITDA was driven by encouraging gaming and non-gaming performance, as well as a continued focus on cost controls. Gross gaming revenue in Q4 2020 was approximately 32% of Q4 2019 levels led by the premium mass segment. With respect to cost controls, our OpEx again, excluding gaming tax was $2.2 million per day. This is down from approximately $3 million per day in Q4 2019, and only up modestly from $2 million per day in Q3 2020 due primarily to an increase in variable costs as business volumes return. At Wynn Las Vegas, we generated $21 million of adjusted property EBITDA from a business that remains heavily weighted to weekend occupancy. In the casino, we saw broad-based strength across key segments with slot handle and table drop reaching 85% and 72% of Q4 2019 levels respectively during the quarter. We remain focused on cost discipline in Las Vegas with our OpEx per day, excluding gaming taxes decreasing to $1.6 million per day in Q4 2020 from $3 million per day in Q4 2019 and from $1.8 million per day in Q3 2020. As Matt noted, this COVID accelerated and holiday travel was discouraged around the already seasonally challenging holiday period. The back half of the quarter was weaker than the front. In this environment of suppressed demand we expect 1Q 2021 performance overall to be subdued, but we do expect pockets of strong demand in February, as Matt mentioned around Superbowl and President's Day weekend. We believe that a combination of meaningful permanent cost saves, along with increased group demand position as well to accelerate our recovery as we move into the back half of 2021. In Boston, as noted on the Q3 call and by Matt just now, we generated record adjusted property EBITDA of $11.3 million in October, but curtailed operating hours stemming from the state stay at home order negatively impacted EBITDA during November and December. We were pleased by the recent decision to lift stay at home orders. And we are now picking up where we left off in October. Similar to Las Vegas, we've remained very disciplined on the cost side with OpEx per day, excluding gaming tax of $680,000 in Q4 2020, compared to $1.3 million per day in Q4 2019 and $750,000 per day in Q3 2020. Turning to Wynn Interactive, are 72% owned, online gaming and sports betting subsidiary continues to advance our sports betting and online casino strategy with current annualized run rate, gross gaming revenue of around $50 million based on results in January and early February. WynnBET our online – our U.S. online sports betting and casino gaming application has now been live in New Jersey for several months. And we recently launched in Colorado and Michigan. As Matt mentioned, we are simultaneously scaling operations, improving our brand positioning, making product improvements and launching a new state. We expect to continue to see growth in the business with much of that growth back half loaded, particularly as we enter the 2021 NFL season. Our CapEx in the quarter was $29 million. As noted last quarter, the vast majority of our CapEx plans remain on hold, and we are only proceeding with our highest priority projects. With that, operator, we will now open up the call to Q&A.
Operator: Thank you. [Operator Instructions] Our first question is from Carlo Santarelli. [Deutsche Bank] Go ahead. Your line is open.
Carlo Santarelli: Hey guys. Thank you. Craig, I'll start with you first. You talked obviously a lot about some of the cost cuts and noted, I think on a segment level basis, some of the declines in Macau obviously, and not adjusting for any hold or anything else that obviously would have influenced the numbers a little bit. It looks like the year-over-year was down about 25% in terms of how you guys think about the permanent reductions relative to some of the variable stuff that will come back. How are you thinking about kind of the run rate as business levels normalize in terms of permanence?
Craig Billings: A good question Carlo. I think, we'll see as the market progresses and volume starts to come back, you can see that we had a slight uptake in the quarter as we moved from kind of zero at the mid – at the earlier portion of the year into that kind of 30% of Q4 2019 levels of volumes. So a decent chunk of those are permanent, but I must, of course caution you. It's not the same as the U.S., right? Staffing flexibility, just isn't the same as the U.S. So some of those will come back, but we feel like we're appropriately sized and the cost base is appropriately sized for the business volumes that we have today.
Carlo Santarelli: Great. Thank you for that. And then Matt or Ciaran, one of the guys from Macau, if you guys could kind of provide, and I know it's not an easy answer, but any thoughts that you have around kind of the cadence of sort of visa loosening and what you guys are potentially hearing as it pertains to that topic?
Matt Maddox: Ian, why don't you take that one?
Ian Coughlan: So we were very happy with the cadence of running from October golden week into the Christmas and Western New Year period, where we had two weeks of extremely strong occupancy and great play on the floor, particularly in premium mass. And quite frankly, there was a lot of anticipation about Chinese New Year, and clearly we had a number of outbreaks in China during January, late December and January that have curtailed a lot of travel and understandably the authorities and the PRC have been working hard to contain the outbreaks. The cases have dropped from the 100s to the teens. So that's very positive, but it has impacted the booking cycle for Chinese New Year. We do have a lot of player interest still in Chinese New Year. We have a number of our bigger players reserving suites and villas. And they will potentially travel, but certainly it's affected bookings throughout town. So we're probably looking at more like an October golden week situation than the Christmas and Western New Year period. However, we believe that it's a temporary setback, a very temporary setback as winter is ending. The recent outbreaks have been contained and vaccines are starting to get rolled out. They're getting rolled out obviously by the millions in China, but locally in Macau, we've just received our first delivery of a 100,000 vaccines. And in late March, we have a further delivery and distribution of another 100,000 were a small population. In terms of visas opening up more and more people being allowed access into Macau. That's obviously very fluid and very linked to containment in China, but there has behind the scenes being a pickup in number one optimism, and number two discussions between the authorities and the Greater Bay Area between Hong Kong, the PRC and Macau about the reestablishment of a travel bubble. So people are looking to the future. There is light at the end of the tunnel. This is a temporary setback, cadences frankly demand is out there and we're priming our properties to take full advantage of that. We command the luxury sector and we believe that we're ready to take more than our fair market share. We proved in Q4, we built market share up to nearly 16% and we believe that there is more market share for us to take, particularly given that we've commanded the luxury sector. And those are the customers that are coming back.
Carlo Santarelli: Great, Ian. Thank you so much, guys.
Operator: Our next question is from Joe Greff from JPMorgan. Go ahead. Your line is open.
Joe Greff: Hello everybody. Matt, you spent a decent amount of time in your opening remarks talking about the opportunities in the premium mass segment. Can you talk about how the premium mass segment that the volumes in the fourth quarter compared relative to, or how they did relative to overall mass table troubleshooting with them, on my math here down 51% year-over-year, which by the way was better than, I guess the one cooperator who's reported fourth quarter results so far. And I'm presuming the premium mass is better than that. And can you talk about what's driving that improvement versus the base mass or versus I think we all probably understand what's going on with the VIP and certainly with the junkets. And then you also mentioned related to premium mass [ph], and you also mentioned that, I guess, expectations about month over month improvement. So is the premium mass performance in January, did that exceed December? And did you see that trend that sequential improvement month over month throughout the fourth quarter?
Matt Maddox: Yes, sure, Joe. I don't want to say that we are seeing that in January because as Ian pointed out, there were some restrictions that were put in place, continued restrictions in China as there were some small outbreaks in COVID, but the way that it was handled and pretty much quickly put out has been extraordinary. I was on the phone on a zoom call actually with someone in Shanghai last night who was just talking about it's life as usual. I mean, we're back, we're going to clubs, we’re going out, they're really ready to travel and go to Macau. And so there's a real sense of optimism when you're talking to people in China and we are very well positioned for that customer, that is the premium segment. Yes, the premium segment did better than the core mass segment. I don't want to get into the exact numbers, but it was not down 50% as the overall mass was. But what you know about our business Joe is where we do not need 50,000 people a day walking through our facilities to get back to our EBITDA target. We require significantly less people because we cater to the higher end customer, and those are going to be the customers in our opinion, that are going to be traveling first. They're going to be the ones that are coming back first, and we're targeting that segment. And we think that we're going to get more market share in the premium mass segment than we have in the past.
Joe Greff: Thank you for that.
Operator: Our next question is from Shaun Kelly with Bank of America. Go ahead. Your line is open.
Shaun Kelly: Hi, good afternoon, everyone. One of the – maybe you switched to Las Vegas for a quick question. You give some great commentary on how well the casino performance has been. And I think it's been decently consistent around town. And I just wanted to get your thoughts on, we don't ask a lot about the casino block specifically for when, but was wondering if you'd give us a little bit more high – kind of high level color on how important is that casino and rated play business for win in Las Vegas, any directional sense of how important that is and what you guys could do to maybe lean into that just to maybe stabilize things and continue to perform like you kind of already are.
Marilyn Spiegel: Hi, this is Marilyn. And I can't stress enough how important that casino businesses to us. We have really leaped in. And we have seen that casino segment of the hotel be stronger and stronger and resilient. And so our casino hosted play almost the vast majority of our play is rated play. The casino host team has done an unbelievable job in getting these guests to return over and over. The events that we planned, the database that we have really, the improvements that we made in 2020 for all those tools have really come through exceptionally strong. And in those areas where we have unhosted rated business, we launched win rewards in December, and that has been so far a very smooth launch. And we're looking forward to having enough of those players come. Really Superbowl will be the first opportunity that we've had to do that. So the casino marketing team has been the stars of the COVID situation. And so they're driving the bus right now.
Matt Maddox: I mean, if you look at just the market – gaming market share, we used to be around 8% to 9% of the market, say 2018, 2019, and now we're closer to 15% of the market and that's not by accident. I think all the measures that we've taken to make sure that this place as it's restaurant open, it is fun. It feels – it is very safe. The staff continue to be highly motivated and focused on service. We've been taking share in the domestic high end. It's a fact. We've been seeing players that we've never seen before. And we're going to continue to lean into that segment because I actually think that we're very well positioned to take market share.
Shaun Kelly: Thank you both. And then maybe it's just my follow-up, to switch over to Wynn Interactive. Just, could you give us a status or a little bit of a thought process around marketing? It sounds like you've already made some progress and have lined up a lot of strong partners to get some of these states launch. When is the right time to kind of lean in on the marketing spend? Have you already, or do you really expect that’s going to be kind of back half loaded as you mentioned Craig, when maybe the players are ready to receive that message around some of the seasonality?
Craig Billings: Sure. Well, first of all, it's incredibly important to make sure that your product is in a state where you feel like you can scale it. So, we're making – we're doing product drops really every two weeks. And our focus there is making sure that we can achieve market parity in order to do that. I would say that's our number one focus. And it consumes 40% of our time on Wynn Interactive. Then the other key component as you rightly point out are kind of two parts of marketing performance marketing, where you are actually kind of driving installs through ad networks, through Facebook, et cetera. And we certainly have begun to hit the gas on that component of our marketing because you can do it in a very targeted way. The second component of marketing is really third-party relationships and third-party partnerships, mass media, if you will. And that's a little bit of a chicken or the egg, because before you engage in large scale mass media, you want to make sure that your product is where you want it to be, and for us, that's a high standard given our brand. And you want to make sure that you are in enough states to where any bleed that you are experiencing into states where it's not legal is acceptable. And so, you should expect to see a lot more from us on the third-party mass media marketing side, over the course of 2021. But we're doing performance marketing today in order to begin to scale the product.
Shaun Kelly: Thank you very much.
Operator: Our next question is from Thomas Allen with Morgan Stanley. Go ahead your line is open.
Thomas Allen: Hi, how is it going? Just in terms of Macau can you just update us on your latest thinking on the VIP business and maybe structural risk there? Thank you.
Craig Billings : Yes, sure. So, we've been focused on the future of Macau and clearly, we're leaning in on the premium mass segment and on the mass segment. The VIP business is not going away. But it is definitely going to be less, whether it's 20% of 2019 or 35% of 2019 in the future, it's hard to say. But it's going to exist, it's evolving, it's consolidating. And so we'll still be a player in VIP, it will still be a large contributor to our company and to our bottom line. But we're really focused on the premium mass segment. Ian, do you have anything to add on that?
Ian Coughlan: Just looking back to December, our VIP got back to 35% of December in 2019 numbers. So it's certainly not a small contributor. It still continues to grow and get better. The pace of recovery is obviously slower than the premium mass. But even in January we had a lot of activity from our big players. So people in our premium direct program. So it’s certainly not faded away completely. It is growing. And it is tied to the health of the general market. The pace of recovery is just a bit slower. So it will continue to be part of our business.
Craig Billings: I do think that there will be significantly less VIP players as junkets consolidate and fall out, but there will still be very large VIP players. And our focus is on that direct business and on the very high end, as opposed to having lots of junket operators trying to drive lots of VIP customers. It's really more about – it's really about the premium VIP segment. And that's where we've been focused,
Thomas Allen: Very helpful color. And then just on the interactive side, now that you are in three states, any updated thinking about just how competitive the market is and any concerns there? Thank you.
Craig Billings: The market is quite competitive clearly. But, I think, that – I have been surprised at the size of the market. I think Michigan has been a really interesting test case for how quickly it's ramped and the size of both the sports and the online gaming. So yes, it's tough competition, but I think, the market is larger than we anticipated. And there's going to be plenty of room for great brands and great product. And this, we think 2021 is going to be our year to really get into this.
Thomas Allen: Thank you. Good luck. 
Craig Billings: Thanks.
Operator: Your next question is from Stephen Grambling with Goldman Sachs. Go ahead, your line is open.
Stephen Grambling: Hi, thanks. Just as a follow-up on that, the comment around consolidation VIP if we were to go back to 2015, 2016, it seemed like a similar expectation was out there for continued restriction, VIP play. Then that business came back very strong in 2017, 2018. How would you compare and contrast what is happening now versus then? And how quickly could you pivot back if you saw liquidity ramp back up? In other words, do you need to reconfigure again, or is it as simple as slotting the junkets back in?
Craig Billings : That's a good question. I think, to ramp VIP back up, it's actually not that complicated. You can just slot junkets in. But we really think that Macau is transforming much more into a tourist destination focused on more than just gaming. And so our focus is on the non-gaming side. It's on the premium mass side. I really don't anticipate the VIP market snapping back like it did after 2016. I think it will definitely be there. It will definitely be a large market, but the growth driver is going to be on the premium mass side and the mass side.
Stephen Grambling: Understood. And then moving back to Las Vegas and you had some good commentary on convention bookings. Maybe if we peel back the onion a little bit, what have you seen or heard about corporate demand since the vaccine results were announced and rollout started? And has, I guess, feedback driven the healthy passport strategy, or is that more regulated tourism?
Craig Billings : No, that feedback is really win-driven because everyone is very cautious and no one really knows what they can do. So, they look at current restrictions and rooms and they say, you can't have more than 250 people. How can we hold a convention? So, there's more questions than answers. And what we're trying to do is solve those questions. And so, we'll have to get our state comfortable that we can exceed the current limits and we can continue to have more people in one room by doing the things that we're doing. And I do think that's one of the reasons we haven't seen a lot of fallout quite yet in the back half of the year, because a lot of corporates are still waiting to see if there will be solutions for people to get back together in a large way and we're trying to provide those. So, of the 170,000 room nights, we have booked, of course, there's going to be cancellations. And there's going to be wash and it's hard to predict. But people are more sanguine now about the back half of the year than I've seen on the corporate side. And we're just trying to show the way with our COVID testing lab and our vaccination center.
Stephen Grambling: Fair enough. Thanks so much. Best of luck.
Craig Billings: Operator, I think, we have time for one last question.
Operator: Okay. Our final question is from David Katz with Jefferies. Go ahead your line is open.
David Katz: Hi good afternoon, everyone. Thanks for taking my question. In the context that we often discuss the prospects of concession, explorations and how that rolls, and that information that's knowable obviously is extremely difficult. Thoughts or strategies, how do you sort of deal with that? And is there a realistic, more realistic possibility that this is sort of a deferred circumstance that maybe more than a couple of years away?
Craig Billings: David I'll answer that question the same way we do each quarter, which is we continue to heavily invest in the community. We're known as good corporate partners. We're known as one of the top employers. And what we want to do is provide real value for Macau and for the Greater Bay Area. So, we understand our place there. We're good partners with everyone in Macau and in the Greater Bay Area. And we're going to continue to do that and work closely with the government as they determine what the concession renewal process will be.
David Katz: Got it. Thank you. You've covered a lot. I appreciate it. Thank you.
Craig Billings: You are welcome.
Matt Maddox: All right. Thank you everybody for joining us. We'll see you next quarter.
Operator: That concludes today's conference. Thank you for participating. You may disconnect at this time.